Operator: Good day and thank you for standing by. Welcome to the Q4 2022 Materialise NV Financial Results Conference Call. [Operator Instructions] Please be advised that today’s conference is being recorded. I would now like to hand the conference over to your speaker today, Jody Burfening. Please go ahead.
Jody Burfening: Thank you, Kevin, and thank you for joining us today for Materialise quarterly conference call. With us on the call are Fried Vancraen, Founder and Chief Executive Officer of Materialise; Peter Leys, Executive Chairman; and Johan Albrecht, Chief Financial Officer. Today's call and webcast are being accompanied by a slide presentation that reviews Materialise's strategic, financial and operational performance for the fourth quarter and full year 2022. To access the slides, if you haven't already done so, please go to the Investor Relations section of the company's Web site at www.materialise.com. The earnings release that was issued earlier today can also be found on that page. Before we get started, I'd like to remind you that management may make forward-looking statements regarding the company's plans, expectations and growth prospects, among other things. These forward-looking statements are subject to known and unknown uncertainties and risks that could cause actual results to differ materially from the expectations expressed, including competitive dynamics and industry change. Any forward-looking statements, including those related to the company's future results and activities represent management's estimates as of today and should not be relied upon as representing their estimates as of any subsequent date. Management disclaims any duty to update or revise any forward-looking statements to reflect future events or changes in expectations. A more detailed description of the risks and uncertainties and other factors that could impact the company's future business or financial results can be found in the company's most recent annual report on Form 20-F filed with the SEC. Finally, management will discuss certain non-IFRS measures on today's call. A reconciliation is contained in the earnings release and at the end of the slide presentation. With that, I would now like to turn the call over to Peter. Go ahead, Peter.
Peter Leys: Thank you, Jody, and welcome to everybody on the call. Before turning to Slide 4, which summarizes the highlights of our fourth quarter and our full year financial results for 2022, I would like to thank all our employees and, in particular, our Ukrainian colleagues for the amazing mix of perseverance and flexibility that they have shown throughout the previous year, which was not a new one. Johan will walk you through our Q4 results in more detail. In this introduction, I would like to focus on a few key numbers of our full year performance in 2022. Amidst the macroeconomic and geopolitical turbulences of 2022, our total revenue grew by 13% from €205 million to €232 million. And importantly, our deferred revenues from software sales grew by more than 20% to almost €43 million. From our perspective, this is a solid top line performance especially bearing in mind the difficult circumstances that resulted directly or indirectly from the war in Ukraine. In 2022, the increased costs of labor of energy and of materials weighed heavily on our margins. Nevertheless, backed by a strong balance sheet, and supported by a solid positive cash flow from operating activities of almost €25 million, we decided to stay the course with our growth strategy and not to compensate for these inflated costs by scaling back our R&D efforts. Obviously, this impacted our adjusted EBITDA which decreased from €32.5 million to €19 million in 2022. We are convinced that this was the right choice, and that we will see the first positive results of this decision as early as in 2023, when we expect both our revenues and our adjusted EBITDA to grow robustly. I will come back to that in more detail when we discuss 2023 guidance towards the end of this call. But now I would like to pass the floor to Fried, who will walk you through some of the key operational achievements of our company in 2022, all of which we believe will form the basis for profitable growth going forward and coming as early as this year. Fried?
Fried Vancraen: Thank you, Peter. Good morning or good afternoon to all of you listening to this call. Please turn to Slide 5. Even with some serious challenges such as the war in Ukraine and its consequences on world trade, Materialise kept consistently posting double-digit growth in 2022. Despite the inflationary pressure, we kept investing heavily in a sustainable future through capacity expansion in our three segments and high R&D efforts as we had planned at the beginning of the year. We expect these efforts to result in sustained double-digit revenue growth and even substantially faster EBITDA growth in '23, while also reducing our climate impact. Let me review this in more detail. Materialise software went through a major makeover in 2022. We started the year with the acquisition of Link3D, which enabled the full integration of the Link3D cloud-based MES platform and the legacy code base of a range of leading Materialise software packages for AM, including the flagship Magics. Only 5 months into the year, at Rapid, we announced and demonstrated the CO-AM platform that enables Materialise Manufacturing and medical and which also enables our software customers to integrate and automate their AM manufacturing lines better. In Q3, we took a note of significant step with the acquisition of Identify3D. Identify3D has a proven software toolkit that has been field tested by companies and government organizations to allow distributed secure additive manufacturing operations and supply chains. Its tools and teams will ensure that CO-AM is the most secure operation system for AM production environments. On top of that, the new CO-AM platform also accelerate the possibility to develop new software applications, not only for Materialise itself, but also for third-party developers that want to enhance additive manufacturing and its applications. This was demonstrated by the integration of ten [ph] third-party applications on CO-AM at Formnext 2022. Despite a war in Ukraine that severely disrupted our development activities, we delivered our cloud-based open CO-AM platform in operational status in '22. This major achievement did come enterprise, however. The combination of extra expenses we incurred to attract additional talent and to continue to support our workforce in Ukraine, the high inflation on global scale and restructuring resulting from the integration of our existing sales and development teams with the new Link3D and Identify3D teams significantly impacted the bottom line of Materialise software. Hence, the decline of software historically healthy EBITDA last year, particularly in the last quarter. While the development work on our CO-AM platform will continue in '23, we are confident that the extensive efforts of '22 will result in a gradual and sustainable increase of our sales and EBITDA, starting as of '23 and this is due to the more scalable recurring licenses of the CO-AM applications. Materialise Manufacturing posted a respectable 16% internal growth in '22 on a business that reached €103.5 million. We kept combining our existing reliable and profitable Rapid Prototyping activities with continuously growing certified manufacturing in selected vertical segments such as aerospace, medtech, alternative drive systems and wearables. Our additive manufacturing activities earned a Net Promoter Score of 70 from their customers in '22. This is an extremely high mark in any industry. It also demonstrates that we have a customer base that is willing to trust us for future work in a world with increasing AM application opportunities. Last year, we made the investments required to scale further the most meaningful manufacturing applications. We are more than doubling the plant size of ACTech in the second facility, where we can grow our capacities to support the new engine and traction systems for more sustainable energy sources such as hydrogen in the years to come. We launched a completely new Materialise Footscan Suite for Materialise motion in Q3. The new Phits Plus insoles that enables better performing medical grade insoles has already hit the market. Our efforts to introduce new Materialise models in the eyewear market were once again recognized with two SILMO d'Or awards in Paris, which can be considered the Oscars of the eyewear industry. Our new fitting app in iOS for custom frames was developed and launched at [indiscernible] optical stores. Finally, we prepared for the launch of a completely new online sales platform in '23 in the core additive manufacturing activity. Despite inflationary cost pressures, Materialise Manufacturing increased its EBITDA 31% on the strength of the diligent execution of our investment plans in more capacity and in more new products. We are confident that the investments we’ve made in '22 from a solid base for further growth in Materialise Manufacturing revenue and EBITDA in '23. Materialise Medical also consistently maintained its double-digit revenue growth rate at 16%. And it is poised to be the second Materialise segment to exceed €100 million in revenue. At the sales level, the annual growth was even 20%, reflecting a substantial increase of deferred revenues, especially thanks to the 29% growth on the medical software sales. The biggest investment of Materialise Medical in '22 involve the installation and validation of a completely new production line for implants in the U.S. This line will become operational mid '23.In addition, Materialise Medical also made a considerable investment in new products. Our surgical planning platforms are systematically being extended from the workstation-based Mimics engine light framework to cloud-based Mimics platforms, that combine the benefits of our global clinical engineering services with an increased use of AI-based automation. At the start of '23, we were able to launch a new planning tool Mimics Enlight Lung that help surgeons save lung lobes for patients with lung cancer. Despite the disruptive nature of the war in Ukraine, our global clinical engineering service teams did not miss a single surgery due to capacity constraints. However, we could not prevent a combination of inflation, war-related costs and our continued investment for the future from slightly reducing Medical's EBITDA compared to last year. Also for Materialise Medical, we believe that the investments we continue to make in '22 for a solid foundation for revenue and EBITDA growth in '23. At the staff level, we continued our investment for an aggregate amount of €6.9 million in a new digital backbone that we began rolling out at the start of 2023. While we will still have transition related costs in '23 due to this rollout, we will start realizing the first savings of the improved system in our operations. This completes my discussion about our strategic advances in '22 and the plans for '23. Please Turn to Slide 6. During '22, Materialise made substantial progress in enabling this choice for sustainability by AM to many companies around the world. We reduced stock levels by printing on demand. Our systems helped reduce transportation by printing de-localized. We help reduce material usage by printing first time right and personalized in both our own production and the customer side. We are confident we will scale these benefits further, all while ensuring the reliable, repeatable quality that the end customer expects. Materialise enables companies to rethink products and solutions in a way that reduces their impact on the environment while increasing people's health and comfort. This can be achieved by using our software for production optimization or our manufacturing services in eco friendly Materialise -- materials and processes such as Blueprint. And we are not shy about measuring our results according to stringent standards. In 2022, we reduced our carbon footprint by more than 40% compared to our reference year of 2019. This indicates that we are well underway to reaching our sustainability target of 50% carbon reduction by 2025. And now I pass it over to Johan.
Johan Albrecht: Thank you, Fried. I will begin with a brief review of our consolidated revenue on Slide 7. As a reminder, please note that unless otherwise stated, about the review of fourth quarter and full year results to comparable periods in 2021. For the quarter, revenue increased 10% to €62.7 million. Our Software segment decreased 4%. Materialise Medical increased 17% and revenue in Manufacturing rose by 11%. For the quarter, Materialise Software accounted for 19% of our total revenue, Materialise Medical for 39% and Materialise Manufacturing for 42%. For the full year, revenue grew €27 million or 12.9% to €232 million. The €7.6 million increase of deferred revenue from software license and maintenance fees compared to December 2021 underscores the strong license sales performance of our Software and Medical segment. Cross-segment revenue from software products represented 27% of our total revenue for the quarter and 25% for the full year. Moving to Slide 8. You will see our consolidated adjusted EBITDA numbers for the fourth quarter. Consolidated EBITDA amounted to €4.258 million compared to €10.5 million for Q4 last year. Our EBITDA margin was 6.8% compared to 18.4% last year. Full year EBITDA was €19 million in 2022 compared to €32.5 million in 2021. EBITDA margin for the full year reached 8.2% and compared to 15.8% last year. Our adjusted EBITDA reflected the negative effect from the investments in our new businesses, Link3D and Identify3D, labor costs and inflation. Slide 9 summarizes the results of our Materialise Software segment. Q4 software sales increased 9%, boosted by 29% growth of the current sales from license and maintenance fees. Over the full year, we posted license renewal rates of more than 90%, underscoring the value of our software products to our clients. Non-recurring sales decreased this quarter as we noticed weaknesses in the markets of equipment sales. As a reminder, we expect that the perpetual sales was suddenly switch to a cloud and subscription-based agreements with a temporary negative impact on revenue growth in the short-term. Software revenue decreased 4% to €11.699 million and was impacted negatively by €3.6 million deferred revenue. EBITDA decreased to a negative amount of €1.441 million that was impacted by the accelerated R&D investments in our new CO-AM business, which in Q4 also include the expenditures of Identify3D, and also by the effect of non-recurrent restructuring expenditures resulting from the consolidation of Materialise and the Link3D and Identify3D development and sales teams and the write-off of capitalized expenditures. Moving now to Slide 10, you will see that the quarter's total revenue in our Materialise Medical segment increased 17% in Q4. A solid growth of 17% was realized by both Medical Software and Medical Devices and Services. Revenue from Medical Software accounted for 31% of the segment revenue. Adjusted EBITDA amounted to €6.4 million, flat compared to last year. Our EBITDA margin decreased to a still respectable 26% as a result of a combination of various factors, including a different sales mix, increased R&D and regulatory costs and inflation. Now let's turn to Slide 11 for an overview of the Q4 performance of our Materialise Manufacturing segment. Revenue also increased this quarter with double digits by 11% to €26.8 million. The growth was driven by end part manufacturing, which rose 23% and our ACTech business that grew 20%. Adjusted EBITDA for the quarter grew to €1.5 million, and EBITDA margin was 5.6% compared to 4.1% last year. Slide 12 provides the highlights of our income statement for the first quarter and the full year 2022. For the fourth quarter, gross profit margin was 56.9% compared to 58.3% last year. For the full year, this margin was 55.5%. Operating expenses increased 28.3% compared to last year's quarter, executing our strategy -- executing our strategy, research and development expenses increased 67% compared to last year. Our sales and marketing spending increased 29%. G&A expenditure decreased 1%. Net other operating income was €593,000 compared to €1.3 million last year. This quarter included €672,000 impairment costs related to capitalized development expenditure in Materialise Software. As a result of these elements, the group's operating result was negative €1.554 million compared to a profit of €4.976 million in last year's period. For the full year, the operating result was negative €2.872 compared to a profit of €12.2 million. In Q4, net financial expense was €3.436 million and included a currency exchange loss of €3.4 million, mainly unrealized and reflecting the change U.S. dollar-euro position on intercompany positions. This quarter interest income from our cash position offset the interest expense of our debt. Income tax income amounted to €402,000 compared to an income tax expense of €490,000 last year. This quarter included a deferred tax asset of €912,000. Net loss for the fourth quarter was €4.588 million compared to a net profit of €4.8 million for the 2021 period. For the full year, net loss was €2.2 million, resulting in €0.04 per share from a net profit of €13.1 million or €0.23 per share. Now please turn to Slide 13 for a recap of balance sheet and cash flow highlights. In the fourth quarter of 2022, our balance sheet remains strong. Cash decreased to €140.8 million from €196 million on December 31 last year, reflecting the acquisition of Link3D and Identify3D and borrowings [indiscernible] of €18 million, which is reduced [indiscernible] to €81 million. Cash flow from operating activities for the full year amounted to €24.7 million compared to €25.8 million last year. Capital expenditures for the quarter amounted to €5.3 million and €24.8 million for the year and were not financed. Peter?
Peter Leys: Thank you, Johan. Let's turn to Page 14 for the financial outlook. Encouraged by our strong sales results in 2022 and building on our continued investments in our existing and new businesses, we believe that in 2023, we will post yet another solid top line growth of more than 10% with revenues totaling between €255 million and €260 million. Like last year, Materialise Medical and Materialise Manufacturing in that order are expected to be the key contributors to our growth. We also expect the sales of Materialise Software to grow, but anticipate that as a result of our gradual switch to a subscription-based model, the sales growth will not be fully reflected in our revenues in 2023. Assuming that inflation stabilizes in 2023, our continued sales growth will gradually result in a stronger adjusted EBITDA, which we currently anticipate will grow by more than 30%, totaling between €25 million and €30 million in 2023 with positive contributions from Materialise Medical, Materialise Manufacturing and Materialise Software in that order. Unfortunately, like last year, we must note that the developments in Ukraine will likely impact the European and global economy as well as the important services that we source from our courageous workforce [indiscernible]. These developments, which cannot currently be predicted, could have a significant effect on our results for 2023. And on this note, operator, I would like to open the floor now for questions.
Operator: [Operator Instructions] Our first question comes from Troy Jensen with Lake Street Capital. Your line is open.
Troy Jensen: Hey, gentlemen. Congrats on the nice results.
Fried Vancraen: Thank you, Troy.
Troy Jensen: I guess any one of you guys, I saw during -- I think it was Johan's presentation that end parts were up 22.6% year-over-year. Have you guys disclosed what percent of the Manufacturing business is end parts, and what percent of total sales? I guess I'd care more of what percent of manufacturing is end parts versus prototypes.
Johan Albrecht: One second, Troy. Let me look up to give you some accurate numbers in there. [Technical difficulty] to present the [indiscernible] manufacturing at this moment represents almost 30% of the Manufacturing segment revenue.
Troy Jensen: 30% of manufacturing is [indiscernible] and rest of the business.
Fried Vancraen: Couple of [indiscernible] Be, which is not [indiscernible] manufacturing.
Troy Jensen: Okay. All right. Perfect. It's good to note [indiscernible]. And then also just on margins, obviously, we've seen kind of gross margins come down slightly just because of lack of growth in software, we're predicting that again for '23. So it looks like you guys were at 55.5% for gross margins for '22. Would you expect that to be stable on lower? Just thoughts on the direction of the gross margin line?
Fried Vancraen: Yes, Troy, we expect some improvement there because of the combination of two effects. We hope that, yes, rise of our material costs due to inflation will stop. And on the other hand, indeed, our product mix should again show an increased amount of software. Although I want to remain cautious there because in the revenue mix, the growth, as Peter indicated of software will not be as big yet as in the sales due to the fact that we have to defer a lot of our sales of recurring licenses.
Troy Jensen: Got you. One last question for me, guys and it's on OpEx, and Peter, you did approach it -- addressed it in the prepared remarks. But I get that there was inflation, but it seems like there was inflation all last year. you guys did a good job of managing the big OpEx jump ups. But something happened in the fourth quarter here where we saw just a real big material increase. Was that truly all just inflation, Peter?
Peter Leys: Yes. In the fourth quarter, we had a big increase in material costs. I think some of the contracts we had were with fixed prices for most of the year, but we were under influence of inflation, especially at the end of the year because then they expired.
Fried Vancraen: We also had -- that already started in Q3, Troy, where we had labor cost inflation has been applied in [indiscernible] in both, and that affected us on Q3, but then also the full effect in Q4. And while the annual adjustments in some partner sales agreements, could only -- can only be adjusted in the beginning of the new year, we didn't have that effect in Q4 already. So that is a delay effect that we have.
Troy Jensen: Okay. So then going forward, guys, should we think of the OpEx lines just growing slightly on an absolute basis throughout this year? It sounds like you're not going to try to cut back spending. We're going to continue to kind of stay on plan for the investments. So it's kind of grow them slightly sequentially each quarter.
Peter Leys: Yes. Yes. I mean there was a significant increase in particular, in R&D, but is also because of the acquisitions of Identify3D and Link3D. So we'll see another uptick like that coming in 2023, so it will be a gradual much more gradual increase, but we do not plan to put back. And the increasing EBITDA margin will come from a stronger increase over -- a continuous increase of our revenues.
Troy Jensen: All right. Understood, guys. Good luck, Johan. 
Fried Vancraen: Yes. 
Operator: [Operator Instructions] Our next question comes from Noelle Dilts with Stifel. Your line is open.
Noelle Dilts: Hi, guys. Thanks for taking my question. First, I was just wondering if you -- hi, good morning. I was just hoping you could maybe walk through just how you're thinking -- I know you talked about this directionally a bit. But maybe if you could just discuss in a little bit more detail how you're thinking about segment margins as we go into '23. I guess, specifically on software, I just want to make sure we're all thinking about how to think about where margins are going in '23. And then also how you're thinking about the longer-term cadence there? Thank you.
Fried Vancraen: Well, we had -- I mean the margins of our Software segment, obviously, were very bad in 2022. Again, because of the significant investment we did there, including the acquisitions of Identify3D and Link3D, we do expect these margins to become positive again in 2023, yes? And so there will be good growth of the margins within software, albeit that they will not come back to the 35% plus that we've seen in '21? However, in the longer term, 24, 25, we do expect to return back to the, let's say software margins we had in the past. Does the delay effect that we have effectively from the switch of perpetual licenses to global subscription-based agreements. In the first place, -- the price -- the individual prices are not as high as when you sell perpetual licenses. And then the second item is the technical one is where you cannot have the full revenue recognition as from the beginning. But that's one that it starts and it's growing. We have a kind of a snowball effect that we count on in the years to come, but not yet in '23 to the same extent.
Noelle Dilts: Okay. Sorry …
Peter Leys: Yes. Well, just the margin profile of the other two segments, Medical has a very solid margin, which from relatively speaking, did not increase much in 2022 compared to 2021. We see some potential to grow the margin there in 2023 for Medical and also for Manufacturing, we expect that the margin will grow to a double-digit level.
Noelle Dilts: Okay. Thank you. That's very helpful. And then I was just hoping you could expand a little bit just on the level of engagement and interest that you're seeing with the CO-AM platform, just how that sort of trended relative to your expectations? And how you're seeing that sort of as you look out to next year translates into just more sales and growth. Thank you.
Fried Vancraen: Well, we’ve really seeing CO-AM enthusiastically accepted in the market. And yes, in the middle of the year, we could only talk about the, let's say, yes, opinion we heard of several customers. But by the end of the year, we could see real orders and yes, we recently announced that QuickParts, one of the biggest AM service providers in the world has fully switched to CO-AM in all of its activities. And that's demonstrating that CO-AM is really a tool that is enabling the biggest players to scale. Secondly, I'm very proud on the achievement of our team that in less than a year's time, they could start the implementation of the product in such a big organization and also internally at Materialise after 1 year, we have now started to run several of our activities on the full CO-AM platform.
Noelle Dilts: Very helpful. Thank you.
Operator: [Operator Instructions] Our next question comes from Alexander Craeymeersch with Kepler. Your line is open.
Alexander Craeymeersch: Yes, hello. Do you hear me?
Peter Leys: Alexander, we hear you perfectly.
Alexander Craeymeersch: That's perfect. So I'm just wondering for -- so you expect an adjusted EBITDA of €25 million to €30million for 2020 which is significantly higher than the Q4 run rate. I'm just -- it's already been discussed somewhat, but what are you specifically banking on to reach these targets? And what would make you overperform or underperform on those targets? And then the second question would be, if you could just provide what a bit of insights on what your customers are thinking at the moment? So -- because I mean, a lot of your customers are related to CapEx budgets. So what are the CapEx budgets going into 2023, and maybe as a last question, I have several more, but maybe as a last question. What would be the current usage rate of the ACTech existing machinery as you're expanding that plant, but it would be interesting to know what's the current usage or capacity rate at the moment. Thank you for taking these questions.
Peter Leys: Alexander, I will take your first question on the EBITDA guidance. As I already hinted that during the prepared remarks, a growth of the margin of the three segments will contribute to the €25 million to €30 million. And I mean, in absolute numbers, the medical will contribute most -- then we see an increasing margin for manufacturing contributing second. And then third, software rebounding, but not yet to the levels of 35% plus where there would be in a couple of years, but still will be bounding to double-digit margins will be the third contributor to this growing EBITDA margin. Now what can make us over perform two things. If we further over perform on revenue, that should with expanding margins that should have a positive impact on our EBITDA. That would be excellent news. And second, possibly not so good news. If we do not find the right talent to continue our investment programs because we will expand our margins and continue to invest as well, if we do not find the talent and to not accelerate our R&D as much as we still want to in 2023, then that may have a positive impact on our margins for 2023, but we definitely will not be managing the company in that direction. But those are two situations where I could see that could eventually result in an EBITDA in excess of the range that we guided. And for the second question, which I really didn't take down very much in detail. Please, can I look at you? I will just repeat the question maybe. I just need to wonder what your customers are thinking at the moment. So how do the CapEx budgets are going into 2023?
Johan Albrecht: Yes. Well, I think in most cases, I want to say that we are not in the CapEx budget, but rather in the OpEx budget that's one of the consequences of our growing shift towards cloud-based platforms and our licenses. So the amount of situations where we are in the CapEx budget has really becoming very limited. That's one element there. But indeed, we see in the market that there is uncertainty. And people fear that the year '23 could still be a difficult year. We can say we are rather optimistic because we believe we are in a large number of applications that are really very much on the rise even in difficult economic circumstances. And then finally, with respect to your question on the capacity utilization of ACTech, that is really very high at the moment. 85% and maybe even higher, which means that there is very little room on the existing capacity, but that's exactly why we have started earlier last year, the expansion. And during the remainder of this year we expect extra machinery to come in, in order to increase the capacity. In the meantime, we also have some subcontracting opportunities to support growth on a very short notice.
Operator: Thank you. And I'm not showing any further questions at this time. I'd like to turn the call back over to Peter.
Peter Leys: Thank you, operator, and thank you all for participating in the call today. As always, we look forward to continuing our dialogue with you, be it in one-on-one discussions or at any investor conference that we will be attending in the coming weeks and months. Thank you again for joining, and we wish all of you a good day. Good bye.
Operator: Ladies and gentlemen, this does conclude today's presentation. You may now disconnect, and have a wonderful day.